Operator: Good day, everyone and welcome to the Boot Barn Holdings’ Third Quarter Fiscal Year 2022 Earnings Call. As a reminder, this call is being recorded. Now, I’d now like to turn the conference over to your host, Mark Dedovesh, Vice President of Financial Planning. Please go ahead, sir.
Mark Dedovesh: Thank you. Good afternoon, everyone. Thank you for joining us today to discuss Boot Barn's third quarter fiscal 2022 earnings results. With me on today's call are Jim Conroy, President and Chief Executive Officer; Greg Hackman, Executive Vice President and Chief Operating Officer; and Jim Watkins, Chief Financial Officer. A copy of today's press release is available on the Investor Relations section of Boot Barn's website at bootbarn.com. Shortly after we end this call, a recording of the call will be available as a replay for 30 days on the Investor Relations section of the company's website. I would like to remind you that certain statements we will make in this presentation are forward-looking statements. These forward-looking statements reflect Boot Barn's judgment and analysis only as of today and actual results may differ materially from current expectations based on a number of factors affecting Boot Barn's business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of these risks and uncertainties associated with the forward-looking statements to be made during this conference call and webcast, we refer you to the disclaimer regarding forward-looking statements that is included in our third quarter fiscal 2022 earnings release as well as our filings with the SEC referenced in that disclaimer. We do not undertake any obligation to update or alter any forward-looking statements, whether as a result of new information, future events or otherwise. I will now turn the call over to Jim Conroy, Boot Barn's President and Chief Executive Officer. Jim?
Jim Conroy: Thank you, Mark and good afternoon. Thank you, everyone for joining us. On today's call, I'll review our third quarter fiscal ’22 Results, highlight each of our key strategic initiatives and provide an update on current business. Following my remarks, Jim Watkins will review our financial performance in more detail and then we will open the call up for questions.  Consistent with our last earnings call and given the impact COVID had on our performance in fiscal ’21, we believe that a comparison of our third quarter results to the same period two years ago provides the most helpful view into our performance. Our business continues to perform extremely well as third quarter total sales grew 71% on a two year basis, with retail stores up 71% and e-commerce up 70%.  The consistency and broad based strength of the business has been remarkable, with every one of the 13 weeks in the quarter growing in excess of 55% on a two year basis. The majority of the sales growth was a result of an increase in transactions with a substantial portion coming from new customers, underscoring the success of our merchandise and marketing initiatives aimed at broadening our consumer audience. At the same time, better full price selling and growth in exclusive brand penetration fueled a 420 basis point increase in merchandise margin over the same period two years ago.  The combination of strong sales growth and robust merchandise margin expansion helped drive earnings of $2.27 per diluted share, compared to $0.85 in the same period two years ago. When adjusting for the tax benefit in both years, we grew earnings per diluted share more than 175% to $2.23, compared to $0.81 in the same period two years ago.  I would now like to provide an update on each of our four initiatives, beginning with driving same-store sales growth. Third quarter same-store sales on a two year basis improved sequentially from Q2 with strong comps each week and across all regions. Geographically sales growth in the West, again outperformed the rest of the chain. While sales in the South were up strong double digits, but below the chain average. From a merchandise perspective, every major category demonstrated solid double digit growth.  Ladies apparel and ladies western boots, cowboy hats, ball caps and belts remained our strongest performing categories when compared to the two year ago period. Additionally, we saw healthy growth in men's western boots, accessories, kids’ boots and men's apparel. Work boots and work apparel were also double digit positive. While flame resistant work apparel was negative in the quarter compared to two years ago, it has shown sequential improvement each quarter and has turned double digit positive in January.  We believe that a strong portion of the growth can be attributed to the work done by the merchandising team in managing the challenges of the supply chain to ensure healthy in-stock positions, expanding our customer segments by broadening our product assortment, and bolstering our legacy offerings. From a marketing perspective, our investments in traditional marketing programs such as radio, television and direct mail, in addition to digital advertising show up increased traffic into our stores, and to our e-commerce sites. We continue to execute on our strategy of expanding the addressable market to include customers that are adjacent to a pure Western customer.  With the addition of a more fashionable Wonderwest customer a few years ago, followed by the more recent addition of the Just Country segment, we have grown our active customer count significantly. At the same time, we've evolved and upgraded the creative aesthetic of the brand, which has embraced these new segments, while not losing sight of our legacy Western customer.  As we continue to gain more insight from our database analytics, it is becoming increasingly apparent that these new customers are exhibiting similar shopping patterns to our legacy customers in terms of average transaction size, and their propensity to be repeat customers. We believe the ability for us to connect with a broader customer lifestyle will provide growth opportunities for years to come.  From an operational perspective, our teams performed extremely well during the holiday shopping season, working hard amidst a difficult labor environment. I am very pleased with the partnership between our field organization and human resources team that was able to support the volume associated with such a strong sales trend, coupled with a typical holiday build.  The team was able to filled the increased hours needed to support our existing stores as well as recruit, train and onboard the store teams for the 11 stores that we opened in the quarter. This achievement is more notable when you consider that we took a decision to significantly ramp up our ship from store capability to support our online channel during the busy period around Cyber Week.  Moving to our second initiative strengthening our omnichannel leadership. E-commerce sales in the third quarter grew 70% compared with the same period two years ago, and EBIT increased more than 200% over the same time, as our focus on enhancing the profitability of our e-commerce business continues to drive exceptional results. Specifically in the third quarter, we reduced our online-only promotions in order to better align the in-store pricing during the holidays.  Adding to our omnichannel capabilities, we recently made the merchandise in our stores available for sale in our online channels. These orders are executed online, but fulfilled by the stores. Our merchandising store ops, e-commerce and technology teams worked relentlessly to develop and implement in-store fulfilment in advance of the holidays. With our online customers now able to see the vast selection of our exclusive brand assortment only previously available in our stores, we also drove incremental exclusive brand penetration growth online.  In addition, we believe we can elevate the in-store shopping experience even further with inventory purchases focused on more exciting product that will broaden the store selection and expose customers to product that was previously only available online. By placing more exciting product in-stores, it will not only be available for in-store purchases, we'll also be able to offer these products to online customers utilizing this in-store fulfilment capability, mitigating markdown exposure by selling in bulk channels. This will be yet another tactic for us to leverage our e-commerce channel to drive incremental growth in-store.  Now to our third strategic initiative, exclusive brands. It was a fantastic quarter for exclusive brands as penetration grew 570 basis points compared to the same period two years ago, representing 28.3% of sales in the third quarter. We have six exclusive brands in our current portfolio, and three of them are in our top five overall brands. In the coming months we will be introducing four new exclusive brands, expanding our offering to address our Just Country segment, while also refining our Western offering to target both a younger rodeo customer and a more traditional ranching cowboy.  The new assortment looks fantastic and will be arriving in stores and online this spring. I would also like to commend our exclusive brands team on their execution in both designing compelling product and in securing its delivery for the holidays. While many of our third party branded vendors struggled to deliver our orders due to global supply chain disruptions, our exclusive brands team proved to be successful in obtaining merchandise to sell both online and in our stores.  Finally, our fourth initiative, expanding our store base. It was a very busy period as we opened 11 stores during the third quarter, bringing our total store count to 289 stores across 37 states. We expect to open another 11 stores in the fourth quarter, bringing our store count to 300 at the end of fiscal ’22. We are extremely pleased with recent new store performance. New stores opened during the last two fiscal years are paying back in approximately one year, well ahead of our targeted three year period.  Additionally, our pipeline for new store openings is very strong for the coming fiscal year. We are particularly excited to continue to expand the geographic reach of the brand into the Northeast with stores scheduled to open in upstate New York, Delaware, Maryland, New Jersey and West Virginia.  Turning to current business, our fourth quarter is off to a strong start with consolidated sales growth on a two year basis to through first four weeks increasing 89%. This not only represents a sequential improvement from the incredibly strong results in the third quarter. That has extended the trend to 45 consecutive weeks of more than 55% sales growth on a two year basis. The sales continue to be driven by increases in transactions coupled with strong expansion in merchandise margin. January sales growth has been broad based across all merchandise categories and geographies.  I'd like to now turn the call over to Jim Watkins. Thank you, Jim.
Jim Watkins : Thank you, Jim. Compared to the two year ago period, net sales increased 71% to $486 million driven by a consolidated same-store sales increase of 61%. Brick and mortar same-store sales were up 59% and e-commerce same-store sales were up 69% versus two years ago. The increase in net sales was primarily a result of the increase in same-store sales and the incremental sales from new stores opened during the past 24 months.  Gross Profit increased 98% to $192 million, or 39.4% of sales, compared to gross profit of $97 million or 34.2% of sales in the two year ago period. The 530 basis point increase in gross profit rate resulted from a 420 basis point increase in merchandise margin rate and 110 basis points of leverage in buying and occupancy costs. The merchandise margin rate increase was primarily a result of better full price selling and growth in exclusive brand penetration.  Operating expense for the quarter was $99.5 million, or 20.5% of sales compared to $62.1 million, or 21.9% of sales in the two year ago period. Operating expense increased primarily as a result of higher store payroll, store overhead costs and marketing expense. Operating expenses as a percentage of sales decreased by 140 basis points, primarily as a result of expense leverage on higher sales.  Income from operations was $92 million, or 19% of sales in the quarter, expanding 670 basis points compared to $35 million, or 12.3% of sales in the two year ago period.  Net income was $69 million, or $2.27 per diluted share compared to the $24.8 million or $0.85 per diluted share in the two year ago period. Excluding the $0.04 per share tax benefits in both the current year and the two year ago period, net income per diluted share in the current year was $2.23, compared to $0.81 in the two year ago period.  Turning to the balance sheet. On a consolidated basis inventory increased 57% over the prior year period to $386 million. This increase was primarily driven by inventory held at both our Fontana and Wichita distribution centers, a 22% increase in same store inventory and inventory for new stores added in the last 12 months. We finished the quarter with no debt, having repaid the remaining $50 million outstanding on our term loan. We also had $115 million in cash on hand at the end of the quarter.  While our sales growth has been very consistent for the past several months, we're not providing sales and EPS guidance for the fourth quarter. We reiterate our previously provided full year fiscal ’22 guidance to grow new units 10% and our recently updated 450 basis point exclusive brand penetration growth when compared to last year. We now expect capital expenditures to be in the range of $41 million to $43 million, and our fourth quarter effective tax rate should be 25.4%.  Now I'd like to turn the call back to Jim for some closing remarks. 
Jim Conroy: Thank you, Jim. We are extremely pleased with the results of our third quarter and the consistent growth we're seeing across the business. We believe that we are well positioned for a strong finish to our fiscal year. I would like to thank the more than 10,000 associates across the country whose dedication to both our Boot Barn family and our customers helped deliver an exceptional holiday quarter in a challenging environment.  Now I'd like to open the call to take your questions. Kyle?
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is from Matthew Boss with JP Morgan. Please proceed with your question.
Matthew Boss: Great, thanks and congrats on another strong quarter guys. 
Jim Watkins: Thanks Matt. 
Jim Conroy: Thank you.
Matthew Boss : So Jim, as we think about more than 40 weeks of stacked sales growth over 50%, the fourth quarter exits up 71% and January's up nearly 90% and that's despite lapping stimulus. Help us to bridge – if we think about pre-pandemic, 6% to 7% same-store sales, that's basically what you did in the three years into the crisis. Help us to think about that maybe relative to the algorithm that you talk about 3% to 5%, same-store sales and as we look forward. What you think a reasonable run rate on the other side of this crisis might be taking into account all in terms of market share and customer acquisition that you've seen?
Jim Conroy: Sure, great question. It's hard to lay out sort of next year's full year comp guidance until we get through March and April. So if I skip past sort of fiscal ’23 and just think, what we expect the business can do on a longer term basis. As you well know Matt, we went public in October of 2014, with a low to mid-single digit same-store sales algorithm. We've been averaging 11% over the last 11 years. And you're right to call out that coming into the pandemic, we're probably more – closer to six to seven. So I think, again, longer term, we would stick to low to mid-single digits. We would hope to outperform that.  Our near term, fiscal ’23, same-store sales, we’ll outline when we get to our fourth quarter call and have the benefit of seeing how our business performed cycling the March and April business from last year. With that said, the bullish side of me would say that we're cycling a very strong January, and we're consistently putting up really strong numbers, which seems to be perhaps even more unique relative to the rest of what's happening in the retail market. So we feel pretty encouraged by our current business. And I'll have a more cogent and specific answer when we get to our May call.
Matthew Boss : Great. And then maybe as a follow up, the other standout, your new stores. And given the consistency that you're seeing at brick and mortar, I believe your sales per new door have nearly doubled since the IPO. Could you speak to brand awareness, maybe how this factors into what you spoke to in terms of market share, and maybe some of the mom-and-pop consolidation? And just confidence expanding in the Northeast. You mentioned a few new states there in the prepared remarks, just help us to think about unique growth opportunity, maybe relative to that 10% historical target?
Jim Conroy: Sure, you're right, you're factually right that our new store revenue since March 2020 basically, every store and certainly all new stores on average have dramatically exceeded what we had typically modelled and what we had modelled when we went public at 1.7 million or 1.8 million. And these new stores are opening at 4 million. And we would have modelled a three year payback, and they're paying back in around one year. So we are increasingly emboldened by our new store capability.  We've seen very fast customer receptivity, coming to your brand awareness question, for brand new stores opening in brand new markets. Stores we opened in Pennsylvania, Ohio and Virginia and we have stores in in and around Richmond and Virginia Beach that are going to be $4 million stores and more than double what we would have expected. So I think the brand has become extremely well known. I think credit goes to the marketing team as we've really expanded our customer outreach.  I also think that – you had moved in a question around taking share from within the industry. One of the things we did when the pandemic first emerged was we made the decision to remain open. And by doing so we accelerated the share gain we believe that we were already getting from an extremely fragmented industry. And as customers learned a bit about the Boot Barn model, we haven't – it doesn't appear we haven't forfeited any of those customers back. And right on top of that we then expanded our addressable market with a customer base that's adjacent to a Western customer, we're calling it Just Country customer.  And as we look at the sales gains that we're getting now, most of it is driven by transactions and half of those incremental transactions are driven by new customers. So we're really pleased with the execution across the board, new stores, comp stores, the expanded market and we do expect that when we outlined our guidance for next fiscal year, we'll likely come out with a number that's higher than 10% new units. Having opened 11 stores last quarter, expect to open 11 stores this quarter, and having a robust pipeline going into next fiscal year.
Matthew Boss : Great color, congrats again.
Jim Conroy: Thanks Matt. 
Jim Watkins: Thanks Matt.
Operator: Our next question is from Max Rakhlenko with Cowen & Company. Please proceed with your question.
Max Rakhlenko: Hey, thanks a lot for taking my question. And also congratulations on just ongoing incredible momentum. So first question is how does the ongoing consistency in the top line growth impact your outlook and just confidence in your ability to continue to be able to lock in these new shoppers? And then just more broadly, your ability to maintain this new revenue base, which is obviously significantly above where we were previously, and just confidence that there won't be any sort of a large give back, whether it's in fiscal ’23 or in the future?
Jim Conroy: Sure, the new customer, one of the things I mentioned briefly in my remarks, was the new customers are feeling familiar to us. In other words, their average basket is roughly in line, it’s actually slightly larger than our legacy customer. And their propensity to return to shop is roughly in line and again, slightly faster than our legacy customer. So we feel that the new shoppers and new customers that we have added are going to be sticky with we've now been able to see repeat visits, and can measure how long it takes them to come back and how frequently they come back. And again, we feel pretty good about that.  As we think about the kind of future growth there's still plenty of opportunities for us to get ongoing growth. We've got this expanded customer base, we continue to sort of hammer against that. We think we can increase frequency of shop. We've expanded our merchandise assortment a bit. We're starting to see rodeos and concerts come back, right we haven't had the Houston rodeo at all last year and only 50% of it two years ago. We haven't seen a lot of the outdoor music concerts like Stagecoach happen and they're all starting to come back.  While we try not to get people hung up on this, we are seeing a resurgence in the oil markets, right. Our West Texas business has turned positive. Our flame resistant work apparel business has turned positive. So there's plenty of places for us to get continued growth. And again, it's a little bit too early to say whether we'll give it back what we've gotten this year. We have far outpaced our growth versus the industry. I mean, when you look at other public companies in our space, our growth is exceedingly higher than theirs. But that doesn't necessarily mean we'll give it back. We think we've gotten to a new floor and we can grow from here.
Max Rakhlenko : Got it that's very helpful. And then just switching gears to the new brands. How are you thinking today about how big these brands can get? Do you think they could ultimately challenge any of your other exclusive brands in the portfolio once they scale? Just curious given the potential very large TAM for Just Country, if longer term these brands could also squeak into the top five if not bigger, just given the much bigger customer base that they might potentially be interesting for. Thanks a lot.
Jim Conroy: It's a very astute question Max. There is little doubt in our mind that the overall market for we're calling a Country customer is bigger than the overall market for a Western customer so theoretically there's new brands, BROTHERS AND SONS on the men's side, Cleo & Wolf and the ladies side could be every bit as big as our Western customer. The counterbalance I suppose to that answer though is we will have and will continue to have a larger share of the market in pure Western than we will likely will in Country.  But I wouldn't be surprised if those new brands in a couple or three years in our top 10 brands. The most recent example of that was we launched Idyllwind in the fall of 2018. It's three and a little bit years old now. And it's in our top five brands. And that's really more of a fashion brand, right. That's almost purely a Wonderwest brand and that's a smaller segment than Country. So we are pretty bullish about our extension into this much larger customer base, and in our exclusive brands ability to penetrate it. And I think a couple years from now, we'll say to you all that they're now in the top 10 brands as well. 
Max Rakhlenko : Great, thanks a lot. Best regards.
Jim Conroy: Thanks Max.
Operator: Our next question is from Steven Zaccone with Citi. Please proceed with your question.
Steven Zaccone: Great. Good afternoon, guys. Thanks for taking my question. First question was just on the outlook for margins in the fourth quarter, I was curious to give a little bit more color. You sited merchandise margin expansion has continued to spar in January, would you expect to see leverage on buying and occupancy and SG&A in the fourth quarter if the sales growth rate were to continue to hold? 
Jim Watkins: Yeah. Hey, Steve. How are you doing? This is Jim Watkins. Yeah, what we're what we're going to see in the fourth quarter, and again, we were not providing guidance at this time. But typically in the fourth quarter, we see fewer promotions than the holiday period in the Q3. So as you're looking to model out merchandise margin expansion, I would look at that as seeing growth, but maybe not quite as big and robust, as we saw in the third quarter. Again, fewer markdowns and promotions. Freight is something that is with us to stay for a while. And so I would model into continued freight headwind, maybe a little more than the 30 basis points, but probably not as much as 100 basis points or something that high.  And then the exclusive brand penetration. We updated our guidance for the full year this year to be 450 basis points of exclusive brand penetration. And I think you can model that in as well for the fourth quarter. From a margin standpoint. As far as leveraging occupancy and buying. We're not really going to guide around that. Again, looking at growth against the two year ago period, you have to remember it gets a little bit tricky, as you look back to March two years ago and the onset of COVID and the sharp decline that we saw in sales are, so something to factor in as you look at the two year occupancy and buying leverage, it's going to be a little bit tricky to model there. 
Steven Zaccone : Okay, thanks for that color. The follow up I had is just – I was curious on the flame resistant kind of turning double digit positive in January and alluding to the fact that West Texas is comping positive. I know there's potential there. But I guess I was curious if you look back at this past year, even a longer term period, how much has that been a drag to the overall business? Is there a way to quantify it? 
Jim Conroy: Sure, I mean, it's a little complicated, because it's still a drag, right. Because while it's significantly positive or business is growing at such an outsized rate that if it's not growing 70% or 89%, it's going to pull the number now. And I fully recognize you can do that arithmetic as quickly as I can. Flame resistant merchandise is a low single digit piece of our business. And if it's 70 points off the trend, the drag is the call 3% on 70%. I think the reason we would call something out like that is more that while we believe the connection or correlation to oil is really no longer relevant. Some investors are still very curious, that's what's happening in that part of our business. So just as a courtesy, we continue to kind of call out that business and it does speak to the health of the stores in those markets. But again, those markets are becoming a smaller and smaller portion of our total business. 
Steven Zaccone : Okay, thanks. Best of luck guys for the rest of the year. 
Jim Conroy: Thank you.
Jim Watkins: Thank you.
Operator: Our next question is from Jonathan Komp with Baird. Please proceed with your question.
Jonathan Komp: Yeah. Hi, good afternoon. Thank you. I want to follow up and ask on the longer term sales perspective. Jim Conroy, I know last quarter you talked about the goal to scale up to become a multibillion dollar national retailer. Any more context on that comment? And I'm wondering if that's something we should expect to take longer than say a three year horizon looking out?
Jim Conroy: Well, if multi-billion starts with a two, I think it'd be less than three or four years, to be honest. When you take our current run rate, any growth in e-com, which we expect will happen, plus 10% to 12% to 13% new stores growing each year, we'll hit two billion faster than three years, I think. So we'll have to see what happens on the stores – same-store sales line. But it's exciting to have crossed a billion in the first nine months. And to have added, now more than $100 million in sales every year for the last 10 years, right. And it's – we've got a pretty high growth rate. So we think we’ll continue to grow going forward. And it'll be, again, I think everybody's waiting to see what happens when we cycle March and April. But we continue to believe we have more sales growth drivers in our back pocket, and have a decade's worth of growth or 22% sales growth on average. So I don't think we're out of ideas to continue to grow the business.
Jonathan Komp : Yeah, that's really helpful. Then maybe a separate question on the merchandise margin. It's, it's been strong for quite a while. So maybe four or five years now, in aggregate. So could you just give us a broader context, your current merchandise margin rates, how far above the trough or the lows looking back you are today? And then, as you look at the drivers the last few years, how much as structural and sustainable versus anything that's risk of giving back going forward?
Jim Conroy: Well, as your question centered on merchandise margin, I'll address that one. I think – so just one of the things we said when we presented at ICR was at least just in the holiday quarter, the Christmas quarter, we were up 270 basis points in margin this most recent year and over a four year period we were up 590 basis points, right. We've added six points of merchandise margin in four years. And frankly – so we're, as you might expect, pretty proud of that fact. We do think there’s still opportunities for us to grow our merchandise margin going forward.  We continue with the narrative of fewer promotions. And we think there's still opportunities to reduce promotions. We continue to build a narrative around our online pricing versus our stores. And we still think there's opportunity to get our online prices even more in line with stores. The Sheplers business, which had been a drag on margin is now at par essentially with boot barn.com. We, of course have the ability to continue to grow exclusive brands, launching new exclusive brands, so that's a margin driver.  While freight has been a headwind and many of our vendors are passing along freight increases, once we see those container prices come back down, we expect that freight number to come right back to us. So that could be a further driver. And I’d say the last thing is this ability to ship product from our stores to an online customer gives us the ability to take a broken size assortment, right. You have one pair of boots inside seven and a half in one store. And to find that customer in that market to come into that store, it's difficult.  To find that customer online in some much more macro view into these items is easier. So we think we can actually move through clearance out of the stores quicker and at a lower discount than we otherwise would have by leveraging our online channel. So I'm not sure we'll build another six points of margin over the next four years, but kind of coming back to the comments about sales growth. I don't think we're out of ideas to build more margin, right. 
Jonathan Komp : That's really helpful color. Best of luck. Thank you. 
Jim Conroy: Thanks Jon. 
Jim Watkins: Thanks Jon. 
Operator: Our next question is from Corey Tarlowe with Jefferies. Please proceed with your question.
Corey Tarlowe: Yeah, thanks for taking my question. And congrats on the quarter. I wanted to ask a question as it relates to exclusive brands penetration. Can you provide a little bit more color as to what's really driving the growth in this segment and what about it is really sustainable in your view? You mentioned at ICR that you were expecting, I believe it was 450 basis points of improvement in penetration for this fiscal year. And that number is meaningfully from prior estimates. So if we could get a little bit more color here, I think that would be very helpful. Thank you.
Jim Conroy: Sure. No, great question. There's two pieces to this. Perhaps three. You've got to laugh, because now I have to remember the three points I was going to make. The first is, we absolutely are developing – designing and developing what we believe to be compelling merchandise. High quality product, at the same quality standards of the leading brands in the industry, not a price leader and we think the product, on its surface, or on its face, is selling extremely well.  The second piece is while I want to thank our third party branded vendors for working tirelessly to get us product during the holiday quarter. And many of them did an outstanding job of trying to support our sales trend. But the truth of the matter is our exclusive brand vendor ourselves essentially performed the best, performed the best by a lot. So not only did we have really good product, but we had it available to sell on the shelf, because we're able to move that product through our supply chain, at perhaps a better rate than the third party brands in totality.  And the last piece, the third piece, we are launching new brands. And when we launch new brands that opens up – opened the buy dollars for our merchants to fund into them. We'll spend what turns out to be a modest amount of money to launch those brands from a marketing standpoint. We'll bring them to life in the store both from a merchandising standpoint and from a store associate training standpoint.  So I think when you couple all of that together, our exclusive brands, while it's grown quite nicely that 450 basis points year-over-year, we’ll – we are pretty darn confident we'll continue to grow that going forward. We’ll likely give a conservative guide when we lay out our guidance next year. We'll likely circle back to our long-term algorithm of roughly two and a half points of penetration. But I see no reason why we can't continue to get really nice growth in exclusive brands.
Corey Tarlowe : That's great. And then a follow up is, in the release around ICR, you had mentioned that the company paid down the remaining balance on its term loan. So I think a natural question is, are there any updates as to how we should be thinking about the allocation of excess cash?
Jim Watkins : Now I'll take that one. Corey, its Jim Watkins. Yeah. Just I want to remind you that December is the high point of cash generation after our holiday sales. And so we're building back up the inventory on our stores and reinvesting that in the business and in paying down our payables. And so there will be some of that usage there. And then as we look in the next year, the new store growth plan that Jim mentioned, call it 13% and investing in the new stores is another use of that cash. And in the short-term, we're planning to operate with the cash balance and invest that in the business. We don't have any plans for a dividend or a stock buyback or anything along those lines at this point.
Corey Tarlowe : Great, thank you very much.
Jim Conroy: Thank you. 
Operator: Our next question is from Jeremy Hamblin with Craig-Hallum. Please proceed with your question. 
Jeremy Hamblin: Thanks all. I add my congratulations. So my question actually had to do on the cost side. You guys have executed incredibly well on top line. Sounds like there's a ton of potential tailwinds here for calendar ’22. As we think about the cost side, your business also has been leveraging really nicely on SG&A, but I wanted to get a sense of the variability. If you see a little bit of softening here it's hard to imagine continuing to drive your two year stack numbers higher, although you just did that in January, despite lapping stimulus. Is this kind of the embedded SG&A run rate? Do you feel like those are structural in nature? How much flexibility do you have? And how much of that is really being driven by some of what you're doing to attract this huge swath of new customers to your stores and online? 
Jim Watkins : Yeah. Hey, Jeremy. It’s Jim Watkins. I’ll jump in there. I think from an SG&A cost structure, we've talked about the variable nature of our store labor, and during this last year, sales took off and accelerated. We were working hard to get the right employees in place, and we weren't able to, frankly, keep up with the store labor demand that we need in the store. And so we've been investing the last – this last quarter particularly and we'll continue to invest as we move into next year both from a cost and an hour standpoint to make sure that we have the labor to service our customers and drive that sales growth.  And so that is variable in nature, our store labor and so as you’re modelling out into Q4 and into next year, which I think is what's behind your question that is a big component of our SG&A is the labor cost, and that is largely variable. The other another piece would be around marketing. And we've historically targeted 3% marketing spend as a rate of our store sales. And again, we've talked about over the last couple quarters that we haven't been able to spend as quickly as the sales have accelerated. And so we were able to invest a little bit more than that in our third quarter and we'll continue to right size that going forward. But those are two items that can flex with sales as we look into the future. 
Jeremy Hamblin: Great. And then just as a follow up, it appears to us that most of the industry is also seeing pretty strong results, although maybe not quite as strong as what you've seen. Can you give us a sense for what you're seeing out there from competitors on whether they're getting a little promotional, or whether or not you feel like they're holding the line, or perhaps even more likely, possibly a little less promotional on a year over year basis? Thanks.
Jim Conroy: I can take this. And I think if there's been any change in the promotional stance within the industry, it's been less promotional rather than more promotional. I wish we could give you hard and fast numbers on industry growth. But it's just not an industry that tracks total sales or share per retailer well at all, or doesn't track it at all. We do however, have a few public companies that we buy denim from, that we buy Work boots from, that we buy Western boots from. And while I take your point that many of them have been growing, one just reported yesterday. Their growth rates are more – not naming names, but 7%, 17%, 10% and ours is 70%.  And I must admit that it does feel that we're being thrown into a bucket of what the whole industry is growing. And I don't think that's true. I think the industry is showing modest growth, but we are really showing outsized growth. And I feel almost obligated to credit the team for adding dramatically to our customer base, the merchants who have gotten our inventory position where we're up year-over-year coming into the holiday quarter and the fourth quarter, the stores team for managing through call outs from COVID and everything else and hiring people for seasonal hires. So we tend to try to take a stance towards humility. But in this case, I think we have to recognize that our growth is outpacing by a lot what the other public companies in our space are reporting. 
Jeremy Hamblin: Yeah, agreed. Congratulations, and best wishes, guys. Thanks. 
Jim Conroy: Thank you. 
Jim Watkins : Thanks. 
Operator: Our next question is from Sam Poser with Williams Trading. Please proceed with your question. 
Sam Poser: Good evening, thank you guys for taking my questions. I've got a handful here. Just want to back up on the question about SG&A a moment ago, and you talked about marketing, and how you tried to run it around 3%, but sales keep outpacing. So the question is sort of what comes first chicken or the egg? Besides the execution in the stores, is that marketing, just driving the incremental sales? So as you bump your marketing sales team to follow it and – I mean, can you talk about that, because you talk about marketing as sort of like an afterthought, almost to the very strong results? 
Jim Conroy: Sure. I would say that if you went back 24 to 36 months, we had been evolving the brand and Sam you know our brand so well and such great visibility into it from a consumer perspective. But for the benefit of everybody on call, we've elevated the brand, we've extended the reach of the brand, we've contemporized the brand, we changed our media mix to get new customers and that's been an ongoing story. So it's been several years now, where our same-store sales have been driven in part, typically roughly half of our same-store sales growth has been driven by the addition of new customers into the Boot Barn brand.  And while our business has massively accelerated in the last nine months or 10 months, once again, roughly half of that growth, at least that half of that transactions growth is due to new customers. So I don't know if it's the chicken or the egg. But I can tell you that we didn't come out one day and take our 3% marketing spend up to six, hoping for sales to increase. We continue to budget at 3%, we probably became much more efficient with that spend, added more sales and then 3% on a bigger number just became more spend. And we're continuing to spend more dollars every year. But we'll continue to budget 3%. And if our sales outpace our sales plan we’ll come in at less than 3%, which is what happened this year and last year and outside of COVID almost every year. 
Sam Poser: Okay, great. I've got a few more. Okay. So you talked about March and April being important. Let me just read all the questions as we can go through them. March and April are still very important you mentioned, is that because those were the most impacted by stimulus last year, and you're still unsure about rodeos and festivals, and so on that come back in that time period. And that's sort of why you're not guiding Q4 and are sorting it out for the ’23 guidance.  Next question, so, you talked about the store growth, you talked about – you said 10%, but then a second ago, you said 13% next year, so should we be modelling opening 39 stores next year. Also your host – the nationally branded vendors, they're taking price increases, you attune to take some price increases, but I would assume that if a Ariat boot – if they take a 5% price increase on Ariat boot, you can take a lesser increase and widen the gap to then help your exclusive brand business.  And then lastly, your gross margin sequentially on an annual – on a quarterly basis tends to peak in Q3 and then sort of equal – sort of look sort of like Q2 and Q4. Is there anything going on right now that would prevent that from happening this year? Or how should we think about it differently this year?
Jim Conroy: Okay, so let's step through those questions. The first, the only reason we're calling out March and April, is we don't want to lay out guidance for – and again, this is for as you well know, for next fiscal year, right. We're still in fiscal ’22. Until we get to the end of our fourth quarter, and that call will be roughly in May timeframe. And we'll have cycled 52 plus weeks, since we saw the spike in business. And reflecting back to March 17 of ’21 or thereabouts, that's when a stimulus came. We called out on our next call that end of March our business was up dramatically. April, our business was up dramatically, which we ascribed, essentially all of that spike to stimulus in what was our Q4 call.  And then in our Q1 call, we said, hey business continues to be really strong. And we kind of blamed it on pent up demand and refilling closets, et cetera. And then as we got into the second and third quarter, we said, look, we're – this just looks like a new basis for our business. We can see the absolute dollars each week are just remaining extremely constant. We've now seen 45 weeks of plus 55% versus two years ago on a two year total sales basis, et cetera. But it would just be – frankly, a bit irresponsible to try to project what April business and next year's business is going to look like until we have visibility into cycling what is just been once in a lifetime year. That said one of the things we just said to an earlier question is, we feel pretty good about cycling our January business with solid numbers. So that's the March and April piece.  On the store count piece. Our long term algorithm is 10% new units. We will hit that this year. We had signaled pretty solidly that we expect to guide higher than that next year. So if you want to model 12% or 13% new stores for next year, that's fine. We'll refine that guidance when we get to our Q4 call. In terms of – then you asked a question around price increases – wholesale cost increases to us from vendors. We have a pretty straightforward model if we receive a cost increase from a vendor, in most cases and there are some exceptions to this. But in most cases, we pass along that cost increase with a standard markup. So we have taken the decision to maintain our margin rate. So as some of our bigger vendors pass along cost increases, some of them might be permanent, some of them might be transitory, we are going to re-price the goods in the store with a markup.  We're not really doing that to advantage our exclusive brands. And occasionally has that result. Because our exclusive brand team, for whatever reason, seems to have done a better job of managing down costs that we're seeing some cost increase there just not as much and a better job of managing freight costs. We're seeing some cost increases there as well, but not as much as our third party brands. So result of all of that is our margin rate will be maintained on our third party brands. Sometimes the price goes up. And sometimes that does give an advantage to some of our exclusive brands because we're – we have the same model, but we're working really hard to keep those costs down. Your last question was on gross margin rent rate, Q4 versus Q1 and Q2 and I will turn that over to the gentleman from West Virginia, Jim Watkins.
Jim Watkins : Hey, Sam, I think you're thinking about that the right way. And in general, the Q1, Q2 and Q4’s gross margin rate have tend to be pretty similar. As we look to Q4, we're not providing guidance, but I think you're thinking about that the right way. The one piece I would add is we talked about labor in the DC and the rates going up and having increased headcount there to support the growing business and so there are some wage pressure I would say, just generally speaking that we're looking at moving forward. But to answer your question, I think you're thinking about it the right way. 
Sam Poser: Thanks very much. Continued success guys. 
Jim Conroy: Thanks Sam. 
Operator: Our next question is from Peter Keith with Piper Sandler. Please proceed with your question.
Peter Keith : Hey, thanks, everyone here for taking me towards the end. Store growth. So you're kind of teasing out that you can run rate above 10%. I think you've also hinted that maybe, as you're looking at the country, you could do more than 500, which has been a target for a couple of years. The heart of my question is, if you're reassessing a total store target, what might be a timeframe where you could kind of share with the street what you think of a more appropriate target might be?
Greg Hackman: I’m sorry, the question is around, when do we think we'll be able to provide an update on TAM and store count for Peter [ph]? 
Jim Conroy: I see, thank you, Greg. The plan would be to outline that on our Q4 call, we're doing some work now to quantify increased TAM size and store count. But you're right we have signaled that we think that numbers are bigger than where we started, certainly when we met you when we first went public. So I would just stay tuned to our Q4 call. 
Peter Keith : Perfect. Second question for me. With all of the new customers that you've been getting, it's certainly an exciting aspect of the story. You had the customer segmentation marketing capability. So what I'm wondering is, do you have the capability to identify customers that are coming in and put them into one of your four segments? And if so, which of the four segments do you think you're garnering the most new customer growth?
Jim Conroy: So we do and the initial segmentation that they are pointed to is determined almost entirely by what they buy in their first few transactions. And while all of our business is growing and all of the segments are growing, and we're really thrilled with the underlying sales trend and customer count trend, as you might expect, our slowest growing in terms of rate of growth segment will be our Western segment. And our faster growing ones are the ones that are newer, and just starting out, like Wonderwest and Just Country.  The only other thing that gets thrown in there is as we then market to those customers, new or legacy – many customers belong to multiple segments. So they'll – if they tend to buy Work and Western product, they'll get a little bit of Work and a little bit of Western marketing, whether that's direct mail, or email, or whatever. So it's not – they're not crystal clear lines between each of the segments. But the newer ones, and the smaller ones are growing faster. And we're, of course very excited about the Country segment. And a lot of the things that we've done over the last couple of years has really been aligned to that segment to see because we think that's a very big opportunity for us.
Peter Keith : Okay, sounds good. Thanks so much.
Jim Conroy: Thanks Peter. 
Operator: Our next question is from Dylan Carden with William Blair. Please proceed with your question.
Dylan Carden: Hey, thanks a lot. I'm just curious, I agree that people tend to overestimate the correlation to the oil patch. But you have historically spoken to the high degree of exposure you have to sort of more agricultural industries, ranching, farming and you're kind of seeing, obviously, sort of the spike in prices in those fields. I'm kind of wondering, Jim, the last time you saw prices as high, you were kind of just coming into the company. But can you attribute any of the strength here maybe by category, by region, to some of that inflation, commodity inflation? And then as you think about the sort of newer customer, is there a way to kind of identify them for us as to sort of who that is generically kind of come in to the store? Thanks.
Jim Conroy: Sure. On the on the oil piece. We've seen such broad based growth. And while the price of a barrel of oil is higher than it's been in the last 12 months or so, it wasn't until recently that we saw the business turn up. So we've been saying for a long time that we don't believe our business correlates that closely with oil. And the price of oil was up nicely over the last 12 months on our FR business and our West Texas business was still not only lagging the chain, but literally negative when virtually every part of our business was positive.  So I do think going forward, it'll be – we'd like to see that part of our business get more in line with the rest of the company, and perhaps at some point, become a tailwind. But even, we used an example on the script, even flame resistant work apparel, solidly double digit growth in January versus two years ago, it's still a pretty significant drag on our comp or not comp on our total sales growth versus two years ago period. In terms of new customers, I don't have a great sort of way to describe them demographically.  Although we do know that they are that adjacent customer base where we are seeing ladies Western apparel growing significantly in some of the more fashionable lines like Idyllwind is growing significantly. We are seeing what we have put forth as this Just Country customer and the merchandise to go after that customer like ball caps, graphic T-shirts, footwear, that's not Cowboy boots growing really nicely. So once we get some more information from a demographic perspective, we'll share that. We have some work to do there where we have to append the database with a third party, which we haven't done yet. But then we’ll be able to share that information.
Dylan Carden : Got you and I'm sorry, I probably wasn't clear. When I said spiking commodity prices. I meant on the agricultural side corn, soya, wheat, they're all sort of decade highs. And I was just curious if that might be having an impact on some parts of the business.
Jim Conroy: I'm sure it is. And look, we almost always try to point to external factors. Because we try to again start with more of a humble tone. But having spent a fair amount of time trying to benchmark our growth against other companies that we can tease out how their business is that would be benefiting from the exact same trends. Again, with a heavy dose of humility, our growth is just much higher, sometimes 10 times higher. So I can't blame it on commodities or oil or fashion trend or Yellowstone. I have to give some credit to the merchant in the marketing team and the stores team for actually executing better than other companies out there. Analytically there's no other answer I can get to.
Dylan Carden : You're not cutting Kevin Costner’s check. No, that's great. Thanks, Jim. Take care guys, appreciate the question, second question.
Jim Conroy: Thank you.
Jim Watkins: Thanks Dylan.
Operator: Our next question is from Rick Nelson with Stephens. Please proceed with your question.
Rick Nelson: Thanks a lot. Good afternoon. Like to follow up on exclusive brands. You've got six exclusive brands. Now, you're launching four new ones in the spring. If you could speak to those segments that these new ones are targeting and the potential of the next four relative to the first six.
Jim Conroy: Sure. So the first thing we did was we said, look, we've got this casual Western customer that we're calling Just Country and this person maybe isn't a rodeo fan, but might be wearing cowboy boots and baseball hat and going to listen to a country music artist. So we came up with two brands, one for men and one for women that's going after this Country segment. On the men's side, the brand is called BROTHERS AND SONS and on the ladies side the brand is called Cleo & Wolf. We then looked more specifically at our core Western customer, I mean the customer we've had for 40 years. And we said, look, if you really look closely, and you look at other third party brands in our industry, there are multiple dimensions to a Western customer.  And I'll give you two somewhat ends of the spectrum extremes. There's a younger, more aggressive, more modern fit, rodeo customer that we have isolated as a customer that we want to put a brand against. For the brand we're developing, there's called Rank 45. And that brand is consistent for men's and ladies. Then there's a more traditional, tends to be more mature, i.e., older customer living and working on a ranch. And that customer needs less modern fader more traditional fit, more basic colors, more traditional styles and the brand that has been launched there is called Blue Ranchwear. So when you put all that together, it's BROTHERS AND SONS, Cleo and Wolf, Rank 45, and Blue Ranchwear, all going after different dimensions of customers that we believe are already in the store.
Rick Nelson : Thanks for that Jim. Also I’d like to ask about inventory, up 22% per store, you think inventory is working back now for the industry? Are your competitors getting more product or do you think you're getting outsized allocations?
Jim Conroy: I think we're in a very good spot from an inventory standpoint. Our inventory is now up more in line – still lagging, but more in line with our sales trend. As it relates to competitors, as we shop, other stores, it certainly appears that we are more in stock than they are. Whether that's due to getting priority, or due to our exclusive brands filling the gaps for third party brands that have some holes, or the fact that we have just been – we started earlier and we're buying more aggressively. Our sales team constantly will give us feedback on what they're seeing out there. And they're seeing empty shelves for competitors directly in our space and even competitors that are way outside the pure Western industry. So I do think part of the reason why our sales have been so strong is that I think we're executing well, I think the marketing is great, I think the product is great. All those things, we also just happen to have the product available in the size that a customer wants for that same day purchase.
Rick Nelson : Thanks a lot for the comment. Good luck.
Jim Watkins: Thanks Rick.
Jim Conroy: Thanks Rick.
Operator: Our next question is from Jay Sole with UBS. Please proceed with your question. 
Jay Sole: Great, thank you so much. I have two questions. First is you talked a lot about on this call the opportunity to hedge the store count, but Jim given the economics of the store have improved a lot over the past year plus. And you really talked about how you've done – how much work you've done to elevate the brand. Are you seeing opportunities to move into different types of real estate, essentially higher quality real estate where you can put your stores maybe in places where you wouldn’t have considered before that can take advantage of the investments you've made in brand and the fact that stores are in a higher productivity? And what does that mean to the when you thought about the store growth potential and the brand potential? 
Jim Conroy: I'm going to give you an answer, I hope hopefully doesn't seem conflicting. The overarching answer is no. We're opening 10,000 or 11,000 square foot stores in regional centers that are in and around our core customer. And that customer lives and works outside. They're ranching or farming or working with horses et cetera or in construction or some other blue collar type employment. We haven't done – we haven't said, hey, we're going to go for a high end mall or high street location with some very few exceptions. The one difference, and this is the part that might seem contradictory is, we are getting I would say, better spaces, better co-tenants, more visibility than we had in the past. But the center's themselves are pretty consistent with our strategy.  It needs to be easy to get in and out, our customers almost always driving on their way to and from work. We want to have co-tenants that are meaningful to us. So oftentimes we'll look at the home improvement chains or sporting goods stores, where we believe we can share customers and syphon off some traffic from them. And with very few exceptions, we haven't gone off of that model. We have a store downtown Nashville on Broadway that's been open for seven and a half years now, that is not that model at all, and does extremely well. But going forward, the direction to the team is we have a working model, let's just execute against it and stamp it out across the country. 
Jay Sole: Got it. Okay. Then to follow up on that point. The leverage on buying and occupancy was 140 basis points in the quarter. Can you maybe elaborate on that? I think, given the strength in the same-store sales number, I think was up 55.7%. Maybe based on the trends in the past, maybe we would have thought the leverage would have been higher. Is there any sort of additional color you can give on that? Thank you. 
Jim Watkins: Sure. Hey, Jay. It’s Jim Watkins. Yeah, Jim has alluded to this already. But like others, we've been battling supply chain and labor shortages and COVID. And so we really made a conscious effort to pay up to support the sales growth of 71% that we found. So a couple of those things increasing the wages in our distribution centers to attract and retain employees, so that we could receive the goods and deliver them to our stores and to our customers was an investment we made there consciously.  Similarly, with goods arriving later in the year with the supply chain, we did receive more goods into our distribution center in Q3, what we would have normally received some of those into Q2, which pushed some of that labor cost and those hours into the third quarter. And so while the leverage rate maybe could have been a little higher outside of the thing from buying and occupancy, we believe that would have come at the expense of sales. And, so we're thrilled with what we saw as far as it grew from an earnings standpoint, because of driving that sales. 
Jay Sole: Got it. Understood. Thank you so much. 
Jim Watkins: Thanks Jay.
Operator: Our next question is from Mitch Kummetz with Seaport. Please proceed with your question. 
Mitch Kummetz: Yes, thanks for taking my questions. Two questions, first for Jim Watkins. So you guys have given us the sales for the first weeks, first four weeks of Q4 on a – this year, LY and LLY. Did you happen to have that on an LLLY basis? Because I think as we think about the balance of the quarter really have to go back three years to kind of normalize for COVID and stimulus and use and rodeo and all those things. So I was hoping might have that. 
Jim Watkins: You're trying to figure out the January number from three years ago.
Mitch Kummetz: Yeah, I'm trying to figure out the three year growth, either the number three years ago or the growth on a three year basis. Because again, I think that would be helpful as we think about the balance of the quarter given that you have to go back that far to kind of normalize for all these extraneous factors.
Jim Watkins: Right. No, I hear you. I don't have that number handy. I think the way we're looking at it is, the plus 89% on the two year basis, and really the consistent sales that we're seeing, really an acceleration from third quarter is how we're looking at. So we're pleased what we're seeing from the sales dollar standpoint and that run rate. But again I’m in the back of two years ago and try to parse that out a little bit.
Mitch Kummetz: And then secondly, on the margin, just to follow up on Jon Komp’s question from earlier. So if I look at LTM margin, you're 16.8% that's up 730 BPS from pre-COVID. As we think about what's more structural versus less structural, I think we can like – we can back into the benefit that you're getting from exclusive brands. But do you happen to know how much margin you've picked up on the e-commerce business with all the changes you've taken there to improve the profitability of that business? And then in addition, when you think about maybe the hit that you're taking on sort of elevated incentive comp and elevated freight how much margin drag is in that LTM margin versus what would become normal for those line items? 
Jim Watkins: Yeah. So the first part of your question on the e-commerce versus stores, we're not going to provide the detail on that. But Jim did talk about it in his prepared remarks about the outside EBIT growth that we saw from an e-commerce standpoint versus the sales and I think a 70% sales growth on a two year basis and a 200% EBIT growth. Forgot that number, right. So we're seeing nice, growth there. The second part your question Mitch, sorry, remind me again, it was on SG&A? 
Mitch Kummetz: Well, I'm wondering – I would imagine that based on – well, obviously, there's freight issues, there's, I would imagine that your incentive comp is probably elevated relative to normal levels, given how well the business is performing. I'm just curious how much maybe just from a – like from a dollar standpoint or whatnot, those pieces are elevated relative to what they would normally be, just so we can kind of back into some kind of a normal level for those pieces.
Greg Hackman: Mitch, its Greg. I haven't had a chance to talk too much. So I'm going to jump off. You're right, there is elevated comp, whether it's the store support team, us or whether the store associates got a little bit higher sales bonus. But I think in the scheme of things, those are relatively small compared to the increase in dollar sales. So that percentage is going to be relatively minor. I think if I put pencil to paper. The bigger AMs, if you think about the first half of the year, when I was CFO, so I can really talk about this now. We were under invested in store labor, right, we just could not get enough bodies.  And so we got really nice leverage in both store labor and marketing in the first half of the year that is, frankly more of a tailwind to the EBIT rate that you quoted on a TTM basis. So I think the best way for you to think about it is to kind of anchor back to what the Jim's, both of them said, which is we're kind of targeting or believe that an EBIT rate in the 12% to 14% rate next year makes sense when we reinvest in marketing and store labor and things normalize. And that, of course, is dependent on the top line and the assumptions around store comps, right. But that seemed like a reasonable starting point as opposed to trying to unpack or disaggregate some of these smaller tailwinds and headwinds.
Mitch Kummetz: Okay. Fair enough. Alright guys, thank you and good luck
Jim Watkins: Thanks Mitch.
Operator: Our next question is from John Lawrence with Benchmark. Please proceed with your question.
John Lawrence: Great, thanks, guys. Congratulations on the quarter. 
Jim Conroy: Thank you, John.
Jim Watkins: Thank you.
John Lawrence : Would you just step back and let me ask this a different way that somebody’s touched around the edges of it. But all – the new store growth, the new economics, all of those things you've done marketing wise reached the customer, but can you speak to a little bit about the lifestyle of that customer now with COVID. Has anything changed in their lifestyle staying at home more often? Self-reliance, all of that that's – when you look at the activities of a customer, has that helped bring in these new customers into the store or online?
Jim Conroy: I mean, it’s hard to find something specific to COVID. I mean, our core customer tends to be living and working in outdoor lifestyle already. They tend to be more of a blue collar worker. The bull's eye of our customer base is not an office employee that now is working from home. Now, with that said we're probably benefiting a bit from casualization. Some other companies have called that out. We're probably benefiting a bit from increased hiking and camping and less air travel.  There's another thing we can’t assign specific numbers to, but a lot has been written about people's waistband, so to speak, changing sizes during COVID. So perhaps that's been a benefit. But I think when you step back from all of these things that might be helping the business I almost feel obliged again to circle back to, we’re also executing on a number of things that we outlined for a few years now. We've gone out and gotten new customers. We broadened our product assortment. We're able to staff our stores.  We managed our supply chain. We completely transformed our omnichannel capabilities. And once again, while all these other macro things might be helping a little bit, it certainly seems that our business is outpacing virtually every other retailer out there. So I can't blame it on one macro factor or even a collection of macro factors. And for the folks that listen in on these calls here in the office, I want them to smile knowing that they are getting and deserve some of the credit for 45 consecutive weeks of 55% growth over an LOY period.
John Lawrence : Great, thanks, congrats and good luck.
Jim Conroy: Thank you very much. 
Jim Watkins: Thank you John.
Jim Conroy: And thank you everyone for joining the call today. We look forward to speaking with you all on our fourth quarter earnings call. 
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for participation.